Operator: Good day, and thank you for standing by, and welcome to the Innate Pharma Half Year Results Conference Call. [Operator Instructions] For your information, the conference is being recorded. Now, I would like to hand the conference over to your speaker, Mondher Mahjoubi. Please go ahead.
Mondher Mahjoubi: Thank you. Good morning, good afternoon, and welcome, everyone. Really pleasure to be here with you today. This morning, we issued a press release providing a business update of the first half of 2021. I look forward to explaining the progress we’ve made during the year-to-date as well as addressing future goals and milestone. The press release and today's presentation are both available on the IR section of our website. And before we start, on Slide 2, I would like to remind you that we will make forward-looking statements regarding the financial outlook in addition to regulatory and product plan development. These statements are subject to risks and uncertainties that may cause actual results to differ from those forecasted. On today's call, I'm delighted to be joined by Dr. Joyson Karakunnel, EVP and Chief Medical Officer; and our CFO, Frederic Lombard, who will present an update followed by the Q&A section. On Slide 4, you have the classic intro slide of Innate Pharma. As you know, we are pioneers in the field of innate immunity, and in particular, in NK cells. We follow the science to develop innovative therapeutics for patient, leveraging our know-how and antibody generation platform. We are using this expertise to develop a robust pipeline of novel medicines for cancers. Please move to Slide 5. Our pipeline shows how we have translated the scientific leadership into a robust portfolio of both proprietary and partnered assets. It also illustrate how we are executing against our strategy with our lead asset, lacutamab, supported by partner and also earlier-stage products. Additionally, we have a rich pipeline, including the adenosine pathway with an anti CD73 and an anti-CD39 in the clinic. And the pool of preclinical projects, including our NK cell engager platform, which we will carefully select and bring forward and fuel our clinical pipeline. Please move to Slide 6. Our strategy centers around 3 core priorities. While we look to drive value from our early R&D efforts through later stage partnerships, where it makes sense to do so. First, we look to create near-term value driven by our lead proprietary product candidate, lacutamab, which is in development for T cell lymphoma. Second, fueling our pipeline and creating longer term value by leveraging our antibody engineering capabilities to develop innovative molecules with a primary focus on our multi-specific NK cell engager, delivered from our proprietary ANKET platform. And third, we are building a strong and sustainable foundation for our business, leveraging various partnership across industry and academia. We will look to partner including late stage, when it make sense to do so. These will further validate our science and offer capital that we can reinvest to advance our early portfolio. During the first half of this year, we have worked diligently to execute against these 3 core priorities. Number one, we have continued to advance lacutamab as we pursue a broad development strategy across T cell lymphoma. We are excited to showcase lacutamab data in mycosis fungoides, that’s from the Phase 2 TELLOMAK trial [indiscernible], and we have progressed to Stage 2 earlier than anticipated. In addition, we announced our stepwise approach in developing lacutamab in PTCA with 2 clinical studies for KIR3DL2-expressing patient with relapsed peripheral T cell lymphoma, including a randomized controlled trial in collaboration with our partner at the LYSA or Lymphoma Study Association. We have also worked hard to advance our R&D efforts with our early stage program moving forward. And we were pleased to announce earlier this year that Sanofi made the decision to progress IPH6101, our lead NK cell engager into IND-enabling studies. This is the first candidate to emerge from our multi-specific NK cell engager platform, and we are excited by the prospect of this technology, which we believe will fuel our pipeline well into the future. We look forward to telling you more about our progress here later in this call and in the near future. Lastly we look for further updates on our monalizumab collaboration with data from the randomized Phase 2 COAST trial in Stage 3 under the [indiscernible] non-small cell lung cancer which will be presented at ESMO this week. I would like now to pass the call over to Joyson, who will review the progress made with our portfolio starting with lacutamab, our lead proprietary asset, Joyson?
Joyson Karakunnel: Thank you, Mondher. On Slide 7, let me start with lacutamab. First-in-class humanized monoclonal antibody that targets the immune receptor KIR3DL2. As you may remember, KIR3DL2 is an inhibitory receptor found in approximately 65% of patients across all cutaneous T-cell lymphomas and even more in certain aggressive subtypes, but with limited expression in healthy tissue. To date, data from lacutamab have shown promise, demonstrating compelling single agent activity and offering immense potential in lymphomas historically associated with the poor prognosis for which there are few therapeutic options at an advanced stage. On Slide 8, I just wanted to remind you of our development strategy for lacutamab and T cell lymphoma. We are pursuing a fast to market strategy with a potentially pivotal trial underway in a niche setting of Sézary Syndrome, where lacutamab was granted US Fast Track designation EU prime designation last year. We were also looking to potentially expand past Sézary syndrome to mycosis fungoides, where we have encouraging preliminary data from our Phase 2 trial which I'll cover in a minute. Finally, we are advancing into peripheral T cell lymphomas with a couple of recently announced trials. On Slide 9, let me highlight the great progress we have made this year in our ongoing Phase 2 TELLOMAK study for Sézary syndrome and mycosis fungoides. In mycosis fungoides, firstly we moved the KIR3DL2 expressing Cohort from Stage 1 to Stage 2, clearing a pre-determined threshold before 50% of the Cohort was enrolled. The KIR3DL2 MF data was also presented at [indiscernible] with the next MF data due in 2022. For the Sézary syndrome cohort enrollment is on track, and we expect to be able to report top line data in 2022. On Slide 10, we have a summary of the Cohort 2 mycosis fungoides data in KIR3DL2 expressers. Here we see the preliminary results Cohort 2, which showed an overall response rate of 35%, in these late line patients with limited treatment options. You see the median follow-up is still short 4.8 months. It is important to consider that there are quite a lot of confirmed responses, and we now have six confirmed responses out of 17. And you see that some patients have quite a long duration of follow-up in this Cohort 2. If we look at the response by compartment in the skin, you see that the responses are quite high. Now with 11 confirmed responses out of 17. These skin results are extremely interesting because skin is very important for quality of life of the patient. And so it is interesting to see that the majority of patients had represented a very good complete or partial response in the skin. We are encouraged by the data and look forward to further proof points in 2022. On Slide 11, as mentioned, we are working to advance our recently announced clinical development plan for peripheral T cell lymphoma, which will focus initially on the relapse setting where the unmet medical need is most significant. We are initiating our Phase 1b trial evaluating lacutamab as a monotherapy by midyear. The study will enroll approximately 20 patients and we'll evaluate safety and characterized clinical outcome. First data are expected in 2022. Separately, our partner, LYSA, are initiating an investigator-sponsored Phase 2 study to evaluate lacutamab in combination with the chemotherapy GEMOX. This study will be a multicenter, randomized trial with approximately 60 relapsed/refractory patients outside the U.S. We believe that this step-wise approach will prove efficient in identifying the optimal regimen for lacutamab in the relapsed PTCL setting. Depending upon the data generated in these initial studies, we will consider initiating a separate trial in combination with another standard of care treat, and eventually we would look to move lacutamab into earlier lines of treatment, including as potential combination in the CHOP regimen in frontline PTCL or as a consolidation therapy following standard first-line treatment. Moving on to Slide 12. We are pleased to have presented our latest innovation to our proprietary multi-specific NK cell engager platform that we call ANKET, which Eric Vivier presented at the FOCIS meeting in June, and for which an oral presentation has been accepted for ESMO this week. ANKET stands for antibody based NK cell engager therapeutics. And these multi-specific molecules are made of various building blocks, as illustrated here. The reason why we are so excited about the ANKET is because we are announcing two breakthroughs. First, a technological breakthrough and second an efficacy breakthrough. This is leading to the harnessing of NK cell effector function against cancer and also provides proliferation. So on the technological breakthrough, as you can see on this slide, ANKET is very versatile, fit for purpose technology that is creating an entirely new class of tri and tetra- specific molecules to induce strategic immunity against cancer. On the efficacy breakthrough, this unique NK cell engager engages for the first time to activating NK cell receptors, namely NKp46, and CD60. But also the combination of receptors for IL-2, IL-2R beta and IL-2 gamma with the IL-2 variant and tumor antigen in a single tetra-specific molecule. Overall, it demonstrates a better anti-tumor efficacy than clinically approved antibodies with -- within the limit of preclinical models. On Slide 13, is a summary of the data on our recent generation of tetra-specific ANKET, which is made of four component. In yellow, an antibody fragment that recognizes the tumor antigen. In green, an antibody fragment that recognizes NKp46. And then read an FC portion that will interact with CD16. And then in blue, a variant of the [indiscernible] IL-2v variant. On the left side of the graph, we show you the contribution of the tetra-specific ANKET with the IL-2 variant. The black graph on the far left is the vector. The green graph is the tetra-specific ANKET. And the red graph on the right is a tri-specific ANKET with the IL-2 variant separately. You can see the benefit from the green graph in the middle of including the tetra-specific ANKET with the IL-2 variant. On the right you can see the benefit of tetra-specific versus the vehicle obinutuzumab in lung mouse models. On the top, you have the vehicle; in the middle, tetra-specific ANKET and on the bottom, the CD20 obinutuzumab. Activity is seen with the tetra- specific model that is not seen with obinutuzumab. We look forward to updates on ANKET this year at ESMO and other Scientific Congresses and look forward to progressing our partnership with Sanofi. Finally, on Slide 14, we have our third pillar of our strategy of building sustainable business. I wanted to highlight the latest developments for monalizumab which we have outlay since the AstraZeneca and received $400 million in milestones to date, with further potential milestones do. To remind you, monalizumab is an anti-NKG2A, which acts upon the checkpoint pathway to potentiate NK cell activation. This is being trialed in combination with cetuximab in head and neck cancer, and also in combination with the anti-PD-L1 immunotherapy durvalumab in lung cancer. In head and neck cancer, the Phase 3 INTERLINK-1 trial of monalizumab plus cetuximab in IO-pretreated head and neck cancer is underway. In addition, we are expecting data from Cohort 3 as a Phase 2 trial later this year for the triplet of monalizumab plus durvalumab plus cetuximab in first line head and neck cancer. As mentioned previously, the Phase 2 data in Stage 3 non small cell lung cancer COAST trial for monalizumab in combination with durvalumab will be presented at ESMO this week by AstraZeneca. In summary, we look to work further with our partners at AstraZeneca. I will now hand over to Frédéric to cover the financials for the half.
Frédéric Lombard: Thank you, Joyson, and good day everyone. So moving to the finance, Slide 15, we start with our -- one of our key metrics as usual our cash position. Our cash and cash equivalents amounted to €159.4 million as of June 30 this year, down from €181.7 million at the end of Q1 2021. We are in a strong financial position with cash to fund planned operation to at least 2022. In addition, as you can see, we are efficiently managing our resources and sizing opportunity to accelerate our impact by nimbly following data to explore strategic and opportunistic indications. We believe this approach ensures that we remain in position to strategically invest in our vision for Innate. Now, going into the P&L. We only comment on the main and most significant lines. And you have very detailed comments in the appendix of the press release that you can refer to for more information. I will start with our revenue from collaboration. So our revenue and other income amounted to €15.7 million and the main resulted from revenues from collaboration and licensing agreements and to a lesser extent from governmental funding. This revenue mainly resulted from the spreading of the upfront and opt-in payments received from AstraZeneca for monalizumab, which remain recognized on the basis of the percentage of completion of the work performed by the company. I also remind you that it has no impact on cash. On operating expenses, so for the first half of 2021, they amounted to €41.1 million, a reduction of 11% from the first half of 2020. R&D expenses decreased by €9.7 million to €21.8 million, representing just over half of our operating expenses. This change mainly result from a decrease in depreciation and amortization expenses allocated to R&D, following the end of the transition period with AstraZeneca in September 2020. Also, the return of commercialization rights in the U.S., and Europe for Lumoxiti as well as the end of the recruitment in trials evaluating avdoralimab in oncology. Turning to SG&A expenses. They increased by €4.8 million to €19.3 million for the period primarily as a result of the provision for charges booked relating to the payment of US$6.2 million to be made to AstraZeneca in April 2022. Under the Lumoxiti transition and termination agreement. This is less than the company reported up to US$12.8 million contingent liability at the end of 2020, which was linked to the split of certain manufacturing costs. As such, net income from distribution agreements was new following the end of the transition period relating to the commercialization of Lumoxiti in the U.S. The company recognized US$1 million in excess of Lumoxiti for the first half of 2021. With that, I will turn back to Mondher.
Mondher Mahjoubi: Thank you, Frédéric. Thanks to Joyson. So please move to Slide 16. As you can see, we are working diligently to execute across all our strategic pillars, and believe that we are laying the foundation to drive near and long-term value for our patients and our shareholders. Moving on to our clinical program, we expect to achieve a number of milestone over the next 18 months. As you've heard from Joyson, our Phase 2 TELLOMAK study for lacutamab continues to progress. And we expect to report potentially pivotal data into Sézary syndrome and in mycosis fungoides in 2022. In addition, we are moving our PTCL program into the clinic with initial data expected as well in the next year. For monalizumab, we look forward to the Phase 2 COAST data at ESMO this Friday, which build on the hypothesis of adding monalizumab to the anti-PD-L1 durvalumab. Later this year, as you've heard from Joyson, we will present the data from Cohort 3 of the Phase 2 in head and neck cancer study, just in the combination of monalizumab with cetuximab and durvalumab in IO naive patient with advanced neck cancer. We are further advancing the adenosine pathway agents in the clinic, where we are starting a new Phase 1 trial for IPH5301, the anti-CD73 we look forward to data from the anti-CD39 IPH5201 due in 2022. In parallel, we continue to develop our ANKET technology platform and we are very encouraged by the preclinical results from our next-generation NK cell engagers. We believe that this represents a natural evolution of our platform, illustrating the potential for all of NK cells. And the fact that they could become the next-generation of [indiscernible] cancer immunotherapy with more to come as Joyson said, this Saturday is an oral presentation at ESMO [indiscernible]. We look forward to further updates on the progress of our ANKET platform in the second half of this year. Pleased to move of the conclusion slide, Slide #17. So as you can tell we have an exciting journey ahead at Innate. We continue to build our business to create value for patient and stakeholder. And in summary, we have positioned Innate Pharma for the future with [indiscernible] strategy and made meaningful progress throughout the year. Just to recap, in summary, lacutamab we moved forward with our MF trial and presented encouraging data to [indiscernible]. Next year we will have data on MF and potentially pivotal data in Sézary syndrome and we will start with PTCL products. Second, our R&D engine was further validated as Sanofi choose to progress IPH6101 into IND-enabling studies. We will continue to leverage this antibody capability to develop innovative molecules with a primary focus on our next-generation ANKET NK cell engager molecules, as also demonstrated at FORCE and ESMO this year. And finally, as you heard from Joyson, we continue to be sustainable business by balancing our portfolio with partnered assets that provide substantial revenue stream to support our continued investment in early R&D. Collectively, we are driving value across our business and ultimately advancing our goal to deliver innovative medicines to patients. We look forward to keeping you updated on our progress. With that, I conclude the prepared remarks and I will now open the call to question. Operator?.
Operator: [Operator Instructions] We're taking our first question from the line of Daina Graybosch. Please go ahead.
Daina Graybosch: Hi. Thank you for the question. Two for me. One, just thinking ahead for the monalizumab data to be spin it on Saturday. I wonder if you could remind us how much overlap in efficacy and read through from concept to proof-of-concept study? Do you believe there is a new combine monalizumab with durvalumab versus cetuximab? Does either of these therapeutic combinations or mechanisms [technical difficulty] activities at CD8 cells or NK cell? And then in addition, keeping alive my [technical difficulty] could we see NeoCOAST data this half? I noticed it's not on your milestone slides, so maybe you don't have specific visibility, just wondering of the possibility [technical difficulty].
Mondher Mahjoubi: Thank you, Daina. I'm going to repeat the question because the line was not great. So to make sure that I got it right and everyone also can hear them. So you ask question on the NeoCOAST data, when this data will be public. And first question was about the potential read across or read through from the COAST data to the INTERLINK trial and the combination of monalizumab with cetuximab. AM I …
Daina Graybosch: Correct.
Mondher Mahjoubi: … repeating correctly -- okay. Okay, perfect. So I will start with the second question very quickly to say that as you know, the NeoCOAST data is run by AstraZeneca, it's sponsored and run by AstraZeneca. We have really no further information than what is publicly available on the AZ side, which is that the data are expected in the second half of 2021. So we will hear more problems from AZ in the near future. With regard to your first question, I think this is an excellent opportunity also for us to remind you our strategy from the basic research and the slide that Joyson showed to illustrate his remarks on monalizumab, you have two mechanism of action that were the blockers in our labs. The first one is a way to enhance the [indiscernible] of antibodies that, like cetuximab could have a synergistic effect when combine it with monalizumab. And that's what led to the head and neck program and the Phase 3 trial that was started last year. And the second piece of information and piece of data that was published already in [indiscernible] in 2019 was basically the technical package that supported the clinical program of the combination of monalizumab, and anti-PD1 or PD-L1 showing the clear synergy, coming from the fact that as you know NKG2A is not only expressed on NK cells, but also on a subset of CD8 positive T cells. So, first of all, I think the two trials and the two setting and the two type of combination are supported by strong scientific rationale. Now, as you know better than me, these are two different tumor types and two different settings and it's really premature to, first of all speculate on the data before the COAST data presented and of course, I would be very cautious not to have cross trial comparisons or read across, but I'll hand over to Joyson who can maybe complete this answer.
Joyson Karakunnel: Yes. So I think Mondher summed it up very nicely. I think the strength of the preclinical data that supported these trials, both with cetuximab as well as with durvalumab, have two different mechanisms of actions that we look for, that the combination potentials. We've already kind of seen some of that with head and neck. And we'll have to wait for the data to see what happens with COAST. I think second, I think Mondher pointed it out very nicely, which is, these are two different indications, two very different settings; one adjuvant, the other metastatic. And it would be hard to kind of read across the trials or read from across trial comparisons, not only because we try not to do that, but also just because of the differences of indications, settings as well as mechanisms of action.
Mondher Mahjoubi: Thank you, Joyson. Does it answer your question, Daina?
Daina Graybosch: Thank you. Yes, it does. Thank you very much.
Mondher Mahjoubi: Thank you.
Operator: We are taking our next question from the line of Yigal Nochomovitz at Citigroup.
Yigal Nochomovitz: Thanks, Mondher. I just had a few questions. So first, I know obviously, you can't disclose the data yet on the ORR and PFS proposed ahead of the later-breaking presentation. But that said to the extent that you can comment generally, what percent improvement in ORR and PFS would you view as clinically meaningful benefit for monalizumab plus durvalumab combo over the durvalumab monotherapy? Thanks.
Mondher Mahjoubi: Thank you, Yigal. Again, we look forward to seeing the full data presented at ESMO as you know as an oral later-breaking abstract. This was detailed by [indiscernible] curtain raiser. They will report ORR, but they also present PFS data for both arms, durvalumab plus monalizumab and durvalumab plus [indiscernible]. I think the design of the trial is well-known. It has been already publicly disclosed. It's well controlled phase -- randomized Phase 2 trial. They have not, to my knowledge, publicly disclosed the details of the statistical hypothesis. But I believe what is interesting to have in mind is that these are patient who finished their chemo radiation therapy and are randomized within 6 weeks, if they do not progress. And they are being treated with durvalumab mono or durvalumab for up to 12 months. The response rate is certainly a very important endpoint and is the primary endpoint for this trial. But the quality of the response and in particular, the disease free survival or the progression free survival is certainly something to look at as well. So I believe the response rate is certainly important to assess and we look forward to seeing the data, but I think the PFS is something crucial to keep in mind.
Yigal Nochomovitz: Okay, got it. Thank you. And then a second question I had on lacutamab. Can you talk a bit about how you're planning to identify Sézary syndrome and mycosis fungoides patients, given that in the major pharma markets, U.S., Europe and Japan, there are only 200 Sézary patients and about 3,000 mycosis fungoides patients according to the [indiscernible] database.
Mondher Mahjoubi: Yes, just to make sure I get your question, is it vis-à-vis the commercial opportunity, or talking in general about how we are designing and implementing or executing our clinical trials?
Yigal Nochomovitz: No, more about the commercial opportunity.
Mondher Mahjoubi: Yes, okay. Yes. Yes, thank you. No, I -- this is of course a great question and gives me the opportunity to go back to our strategy. I think the Sézary syndrome indication came as a prototype indication, if I can say to validate the mechanism of action, since the majority of these patients are express in KIR3DL2 and we have seen in the Phase 1 basically from the first dose level that when you target this, this tumor antigen KIR3DL2, you get significant tumor shrinkage and even improvement in quality of life. I think this is a symptom itself is the -- how to say, the first step and I should say the fast to market strategy in order to really get those fast recognition [ph] or brand recognition and exchange with the FDA and with EMA in order to accelerate the clinical development. The intent, of course, is to expand beyond that and the mycosis fungoides is half of the PTCL as you know. And you’re right, in mycosis fungoides account for about 3.5 to max 4,000 new patient every year in the U.S and in Europe and Japan. And about 4,000 non-mycosis fungoides peak cutaneous T cell lymphoma. So all in all, we're talking about up to 8,000 patients with cutaneous T cell lymphoma, half of them would express the KIR3DL2. And again, the mycosis fungoides segment is not the end of the story. It's certainly much more attractive and much more compelling business case. But of course the -- I think the most important milestone of the Lugano meeting was that we have been able to show that lacutamab works outside Sézary syndrome and [indiscernible] in T cell lymphoma, which express the KIR3DL2, which of course, surely define, if I may say the scientific rationale to expand now to [indiscernible] T cell lymphoma from where business [indiscernible] of course with more than 18,000 new case every year. KIR3DL2 [ph] T cell lymphoma has a much more attractive commercial prospect. But again the step-wise approach is to validate the mechanism of action, check that this is not the Sézary syndrome drug but it works outside Sézary syndrome which we are exploring and validating as we speak in lacutamab and then go with KIR3DL2 [ph] T cell lymphoma. And then when you look at the totality of the business case, it's no longer niche indication, it's a significant market opportunity.
Yigal Nochomovitz: Got it. Thanks. And just I had one final question. This one might be good for Eric or Joyson. I'm just curious about the ANKET platform and the course of combining NKp46, CD16 and IL-2R. So is the thought that this tetra-specific asset would be better suited to solid tumors or to hematologic malignancies, or both categories under consideration?
Mondher Mahjoubi: Yes. That's another excellent question. That, of course, we debate internally and I'll hand over to Joyson, to sum up the thoughts behind the selection of the tumor antigen for these multi-specific antibody. Joyson?
Joyson Karakunnel: Yes, thanks, Yigal, for the question. So, yes, I mean -- so I'm going to kind of go back and talk a little bit about the ANKET platform. And the amazing thing about the ANKET platform is it's very versatile. So as you were stating the NKp46 CD16 attachments to the NK cells with the IL-2 variant in the same. But the tumor antigen is what I call as removable. You could kind of put different tumor antigens in there. This allows for that flexibility. And as Mondher said, there's heavy debates going on internally to determine sort of what is the best approach. We are looking at both solid tumors as well as hematologic tumors. So the versatility of the platform allows for us to kind of really have those debates internally to see which would be the best opportunity either in solids or hematologic malignancies.
Yigal Nochomovitz: Thank you very much.
Joyson Karakunnel: Did that -- okay.
Operator: Thank you. [Operator Instructions] We're taking our next question from the line of Graig Suvannavejh at Goldman Sachs. Please go ahead.
Graig Suvannavejh: Hey, good afternoon. Good morning. Thanks for taking my questions. I've got a couple. First is actually on 5301. Certainly will be interested to see what the lacutamab data is for the AstraZeneca compound. But could you remind us how to think about differences that you are aware of between their asset and your assets? That's my first question around 5301. And then the second of all, as it relates to the COAST data, anything at least from a scientific or biological rationale that would help us think about how to think about monalizumab and the efficacy and safety that we might see relative to a CD73 targeted asset such as lacutamab. So that's the second question. And then maybe just a question on the P&L. How should we think about trending over the next several quarters, just given the many moving parts. And in that context as we think about your current cash balance where you say you have cash at least until 2022, I mean, we're right around the corner. So how is the company thinking about financing options? What kind of options are available and what's the strategy? Thanks.
Mondher Mahjoubi: Thank you, Graig. Very, very important and good questions as usual. I will start with the first one. Then hand over to Joyson for the COAST and the mechanistic approach we are thinking about, in particular, with regard to the potential combination with [indiscernible] CD73. And then I'll give the opportunity to our new CFO, Frédéric to address your question about the financing moving forward. Very briefly on the 5301. So as you said, I mean, we do really look forward to seeing the lacutamab data. I remind you, other than those data actually, I'm not aware -- we are not aware of other public randomized data in this field. Everyone remember the BMS and DAG [ph] Phase 1b data presented about 2 years ago at ASCO and AACR showing some trend of activity, but nothing since then. So clearly, the results of the COAST trial with regard to lacutamab are of major interest for us and for the other companies that are playing in this field. Number two, I remind you that we published the data. And again, we have even presented with data at AACR back in 2019, if my memory is correct, comparing our anti-CD73 with the BMS and the [indiscernible]. And clearly when it comes to the enzymatic activity, our antibody is much better. It's superior in doing the job of blocking the anti-CD73. Of course, we have to translate those preclinical trial into clinical benefit for patient and that's why we were, to some extent, waiting to see, some very data [indiscernible] in order to try to learn from others. And we have been working over the last couple of months in transforming the IND that we filed at the end of last year into a clinical trial, which is about to start soon. That would be our first clinical trial, testing and assessing IPH5301. We have a plan on what combination approach we should do. And of course, we look forward to seeing the data from the COAST trial to further fine tune and also maximize the opportunity around anti-CD73. That's my answer for your first question. Now, Joyson, the question around COAST. How do we think to the extent across -- I don't want to speculate of the data, but the mechanism of action and the potential convenient compatibility with an anti-CD73 if the two arms are affected?
Joyson Karakunnel: Yes. So I think I'll go back and kind of also state that the mechanisms of action here clearly are as we know are different. So one is an anti-CD73 and anti-NKG2A. One, we're looking to see, I mean, we have preclinical data that have supported ADCC synergy. And then finally with monalizumab, it's sort of done redundant pathway, mechanism of action in combination. So I think when we look at this, we see two, once again, two different tumor types, I mean, two different -- I mean same setting, but two different mechanism of actions that do have different potentials. I think when it comes to the clinical data, I think we'll have to wait to see what the COAST data shows. But I would just say these are two very distinct mechanism of actions operating in two different ways. One, sort of -- sorry, both of them relieving immune suppression. And so I just messed up the cetuximab question, but this was CD73. So the CD73, it's basically the [indiscernible] of the tumor, the amount of adenosine that's present. So really decreasing immune suppression. So decreasing adenosine is one. The other one is decreasing in two different pathways, one anti-NKG2A and the other one with PD1. So I think with that, we'd have to wait for the clinical data to see what's happening.
Graig Suvannavejh: Thank you.
Joyson Karakunnel: I know that was a little roundabout, messed up answer. So I'm happy to repeat it. Because I think it might have I had cetuximab, and then I was like, oh, gosh, this isnt cetuximab. So clearly, I'm excited about both of these. And I'm like sitting here going okay, but -- yes, so, in short, the CD73 adenosine, you're really stopping adenosine synthesis. And so because of that, relieving the immune suppression. The other is two pathways, one acting on T cells, the other one on NK cells. And so I think the clinical data will speak for at least which pathway be better. I think that last answer is the one I would kind of coin versus my first.
Mondher Mahjoubi: Okay. Thank you, Joyson. Thank you. Thank you. Frédéric, would you want to take the question on what's the plan and the financing of the company moving forward?
Frédéric Lombard: Yes. Thank you, Mondher. Yes, as I said before, the cash position is quite robust at the moment with €159 million. We constantly monitor our financial needs, and we provide an update when needed. We cannot communicate at this stage. In terms of plan for sure, if you look at the cash burning for this first half versus last year, we see a big decrease, but it's not following a disinvestment on the outside, we keep our plan as planned. Let's say, last year was having some special cash burn related to Lumoxiti and special payments that we had at the same time. So today you will see a slight increase in the second half due to the delivery of some studies that we are having in the pipeline.
Graig Suvannavejh: And then just in terms of how you're thinking about potential options to extend the cash runway?
Frédéric Lombard: The -- at the moment, first of all, we -- Mondher, you wanted to?
Mondher Mahjoubi: No, no, please, please go ahead.
Frédéric Lombard: Yes, okay. So the different options are, we look at the markets, for sure. We look at financing options also with some banks as well. But more than ever, we look at progressing the way we operate, and see what we can get out of those partnerships.
Mondher Mahjoubi: Yes. So, Graig, long story short, we have a solid cash position. And we've been actually -- we have a pretty good track record on making sure that our cash cover the multiple catalysts and milestone that we have ahead of us, because we constantly monitor our financing needs and we provide an update when needed. Thank you.
Graig Suvannavejh: Okay, thank you.
Mondher Mahjoubi: Operator, do we have more question on the line?
Operator: Yes, we have one question from [indiscernible]. Please go ahead. Your line is open.
Mondher Mahjoubi: Hi. Good morning.
Unidentified Analyst: Hey, good afternoon, Mondher and greetings to the gentlemen Thanks for taking my question. So I just wonder one question on the monalizumab for the data is going to be reported for the IO naive patients later this year. So could you remind us what kind of data set we could expect? And like how many patients we could look into the data? Thank you.
Mondher Mahjoubi: Yes. Joyson, would you like to answer or I can take it. Okay.
Joyson Karakunnel: No, go -- yes, go ahead Mondher.
Mondher Mahjoubi: Go ahead. Yes. Okay. Thanks [indiscernible] for the question. So, first of all, to remind everyone, this is a single arm study that tests the triplet combination. And again, we, as I said in my answer to the first question, we have this two mechanism of action. We know that monalizumab could be synergistic with antibody that have or act within ADCC, and that's the combination with cetuximab. We know that monalizumab is synergistically an anti-PD-L1. And because data were built based on that rationale. I think the triplet is simply the combination of both cetuximab and durvalumab to see whether we can have an increase in response and in quality of response in terms of durability. So this study was designed really first of all to assess the safety of the triplet because this -- a reminder, this is the first I believe ever triplet are you to be the [indiscernible] triplet of noncytotoxic or chemo free regimen to be [indiscernible] in head and neck cancer. The safety was good with the first 20 patients. So we extended the trial to 40 patient, but yet still single-arm trial in advancing relapsed or metastatic patient with squamous cell carcinoma of the head and neck who might have been pretreated with chemotherapy or radiation therapy but who are made of any [indiscernible] treatment. The data will be presented at the end of the year, and we are looking at the totality of the data [indiscernible] to really determine what's the platform. As you know the competitive landscape is evolving and it's important to take into consideration and see the specific unmet need and where we can position this triplet. And again, I insist on the fact that today the standard of care is [indiscernible] plus or minus chemo dependent on the level of CPS and the reserves that we are presented at the end of the year will be looked at also from that perspective. CPS more than one versus CPS low or PD-L1 negative and we will be delighted to share this data as I said towards the end of the year.
Unidentified Analyst: Thank you for that and congratulations on the progress.
Mondher Mahjoubi: Thank you very much. Thank you. Operator?
Operator: Thank you. There are no further question on the phone.
Mondher Mahjoubi: Okay. Henry, do we have questions on the webcast?
Henry Wheeler: No more questions, Mondher. Thank you.
Mondher Mahjoubi: Okay. So if there are no more question, I would like, again to thank everyone for dialing in this morning, this afternoon. I'm very excited with again the progress we are making with our strategy. As I said we have encouraging data with lacutamab. Our R&D is progressing nicely with the new data from our ANKET platform, and we also look forward to the continued progress, including the upcoming monalizumab presentation at ESMO this Friday. With that said, I look forward to talking to you in the near future. Thank you very much and have a great day.
Operator: That conclude the conference for today. Thank you for participating. You may all disconnect.
Henry Wheeler: Thank you. Bye, bye.